John Dolan: Good afternoon, everyone. Thank you for joining us today to discuss our results for our second quarter of fiscal 2026, which ended on September 30, 2025. Hosting the call today is our Chief Executive Officer, John Lai; our Chief Financial Officer, Garry Lowenthal; our commercial operations adviser, Mike Eldred; and myself, John Dolan, PetVivo's Chief Business Development Officer and General Counsel. Following our remarks, we'll open the call for your questions. Then before we conclude today's call, I will provide some important cautions regarding the forward-looking statements made during the call. Before we begin, I'd like to remind everyone that the call is being recorded in order to make it available for replay. The replay instructions can be found in today's press release that is available in the Investor Relations section of our website. Now turning to our results for the quarter. Our growth in product momentum continued into the second quarter as we further expanded the use of our flagship animal osteoarthritis veterinary medical device, Spryng with OsteoCushion technology. We have also advanced the commercialization of PrecisePRP, our new breakthrough regenerative health product that can be administered alongside Spryng. PrecisePRP for dogs generated increased revenue during the quarter as its adoption continues to spread in the canine market. We expect the PrecisePRP revenue to further increase at an accelerated pace with the recent reintroduction to the equine market of PrecisePRP for horses. We have also continued to advance the research, development and use of other technologies we've gained from new major partnerships that we formed over the last several months. These innovative technologies, which includes PrecisePRP, involve diagnostics and medical treatments that are transformative for our platform and particularly for the veterinarians and pet owners we serve. Since the market introduction of Spryng in late 2021, it has now been used by more than 1,200 veterinary clinics across all 50 states. Now with the recent addition of our first distributor in Europe, which soon followed from our first international distributor we signed in Mexico, we can include several additional international clinics who are now using Spryng. Mexico is a very attractive market for our animal health solutions, especially since the country's veterinary health care market is projected to grow at a compounded annual growth rate or CAGR of 11% and is anticipated to reach approximately $2.4 billion within the next six years. Personal horse ownership is deeply intertwined with Mexican culture and tradition, which makes the Mexican marketplace exceptionally ideal. However, the European animal market is much larger, estimated at more than $16.56 billion today and is projected to more than double to $34.8 billion by 2033, growing at a CAGR of 8.6%. In just the U.K., where our new European distributor, Nupsala Group operates the market currently exceeds $2.6 billion and is growing at a 7.8% CAGR. For each of these markets, their high growth rates are particularly noteworthy given their already very large signs. As sales continue to ramp up in Mexico and kick off in the U.K., our U.S. distributor network increased their sales by 35% over the same year ago quarter, reaching $237,000 and representing 75% of our total revenues for the quarter. The growth in distributor sales, combined with the expansion of our in-house sales force and product offerings drove a 51% increase in total revenue for the quarter totaling $303,000 and making it one of our best quarters yet. In fact, it was our highest revenue-generating fiscal second quarter on record. And on a first half comparative basis, revenues were up 85% to more than $600,000, marking our best first half ever. This performance reflects the success of our sales and marketing efforts. These efforts remain strongly focused on the large end market as we continue to expand our larger and fast-growing companion animal market. Our growth has also been driven by a strong performance of our sales and marketing leadership, including April Boyce, our VP of Sales and Marketing; and Mike Eldred, our commercial and operations adviser as well as the several new highly experienced territory managers we have deployed nationwide over the past year and our new team of professional sales representatives and technical service veterinarians who support them. Together, they have been developing deep relationships with the nation's leading veterinary clinics, veterinary corporate entities, consolidators and distributors, with this setting the stage for continued strong growth. During the quarter, we were excited to announce the appointment of Josh Ruben to our Board of Directors. He brings to us a wealth of experience in health care and life sciences, finance, capital markets and corporate strategy. Josh currently serves as the Managing Director of Life Sciences at Trinity Capital, where he is focused on venture lending to health care companies. He previously served in financial director roles with RBC Capital Markets and Wells Fargo Securities. Josh boasts a tremendous track record in the successful execution of multibillion-dollar M&A and capital transactions. This deep understanding of the life sciences industry and strategic insights into growth-stage companies like PetVivo will be invaluable as we continue to grow and expand our market presence in the veterinary markets and begin to explore the introduction of products to the human markets. Now before we get into more of the other exciting recent developments and our outlook for the second half of the fiscal year, I would like to turn the call over to our CFO, Garry Lowenthal, who will take us through the financial details for the quarter. Garry?

Garry Lowenthal: Thank you, John, and good afternoon, everyone, on our call. Thank you for joining us today to discuss the results of our second quarter of fiscal 2026 ending September 30. As John mentioned, we had another great quarter with revenues at $303,000. This was an increase of 51% over the first quarter of last year. A result on a first half year basis were even stronger with revenues up 85% to more than $600,000 and despite the second fiscal quarter being traditionally our slowest quarter of the year, we generated an increase from the previous first quarter. This growth was largely driven by a number of key factors, including our expanded North American distributor network with their contribution increasing 35% compared to the year ago quarter, reaching $237,000 or 75% of revenues. Our expanded in-house sales force also helped drive sales, which included sales of our new product offerings such as PrecisePRP. Gross profit totaled $220,000 or 72.6% of revenues, which was an increase of 23% from $180,000 or 89.5% of revenues in the same quarter a year ago. The decreased gross margin was due primarily to the new PrecisePRP product, which carries a smaller merger and as we increase the sales mix with this new product offering. Total operating expenses decreased 3% to $2.3 million from $2.4 million a year ago. The reduction in operating expenses was due to reduced research and development costs as well as the strategic cost reduction and restructuring program we implanted the last fiscal year. Combined with the increase in sales, the lower operating expenses helped decrease our operating loss by 5% compared to the same year ago quarter, bringing down approximately $2 million. Net loss totaled $3 million or $0.11 per basic and diluted share compared to a net loss of $2.2 million or $0.11 per basic and diluted share same year-ago quarter. The increased loss was due to an increase in interest expense from debt discount as all of our convertible notes were converted at September 20. Excluding the $942,000 of debt discount recorded as interest expense, the net loss actually improved 5% to $2.1 million. Net cash used in operating activities increased $3.8 million from $3.1 million in the same year ago quarter. The increase was primarily due to the increase in inventory purchases of the company's new PrecisePRP product line to meet growing demand and trade vendors settlement payments as our accounts payables decreased substantially during the fiscal quarter. Now turning to our balance sheet. Our available cash totaled $768,000 as of September 30, '25 up from $220,000 at the end of our fiscal year ending March 31 of this year. The increase was primarily due to financing activities that we conducted during the quarter. Also notably, our total liabilities decreased to $1.1 million from $5.1 million just last March 31, 2025 end of our fiscal year. This 79% decrease was primarily due to the extinguishment of derivative liabilities related to our convertible notes as well as a massive reduction in accounts payable due to settlement payments with trade vendors and the conversion of all of our convertible notes to common stock on September 30. Finally, I'd like to mention that during the quarter, we qualified to begin trading on the OTCQX Best Market. To qualify for the OTCQX, public companies must meet higher financial standards, follow best practices in corporate governance and demonstrate compliance with applicable security laws. Furthermore, trading on the OTCQX, we are now penny stock exempt. We believe our uplift from the OTCQB to the OTCQX demonstrates our commitment to transparency strong corporate governance and delivering long-term value to our shareholders. We also believe that trading on the OTCQX enhances our visibility within the investment community and provide greater liquidity and accessibility for investors as we continue to execute on our strategic growth initiatives. Now this completes our financial summary for the quarter. John?

John Dolan: Thank you, Garry. The growth for the quarter demonstrated the success of our overall strategy for driving greater adoption of Spryng as well as increasing the awareness and acceptance of PrecisePRP for the treatment of osteoarthritis in animals. PrecisePRP is a proprietary and revolutionary allogeneic platelet-rich plasma product, or PRP, designed for horses and dogs that was developed by VetStem. PetVivo has been granted the exclusive license to commercialize PrecisePRP canine and equine in the United States. PrecisePRP is a first-in-class off-the-shelf PRP product for use by veterinarians. It is a leucoreduced allogenic pooled freeze-dried PRP that provides a species-specific source of concentrated platelets and plasma for intra-articular administration. Unlike other PRP mechanical kits currently in the market, Precise PRP does not require a blood draw or centrifugation, thereby making a truly off-the-shelf product that is easy and convenient to administer. We have begun to sell this breakthrough regenerative product under an exclusive licensing and supply agreement with VetStem that we signed in February of 2025. The combination of Spryng and PrecisePRP has received very favorable reports from veterinarians regarding the ease of use of these products and the effectiveness in the management of osteoarthritis in horses and companion animals. We have continued to work on expanding the awareness of the benefits of both of these innovative products among key decision makers. In July, we exhibited at the Texas Equine Veterinary Association 2025 Summer CE Symposium held in Marble Falls, Texas. We also attended other smaller industry events during the quarter. At these events, we demonstrated the research-backed benefits of Spryng to veterinarians, including leading sports medicine and rehabilitation experts in the veterinary industry. We also have the opportunity to exhibit jointly with VetStem at the 2025 Fetch Kansas City Veterinary Conference held in August at the Kansas City Convention Center. Together with VetStem, we exhibited the PrecisePRP technology at this conference. These conferences are very important to our marketing efforts as they allow us to discuss firsthand with decision makers, the benefits of administering Spryng and/or PrecisePRP to horses and companion animals. We can discuss with them the anecdotal reports as well as present the positive results from several clinical studies that have been conducted by leading independent investigators. From these events, we usually gain a better understanding of our target market and the types of veterinarians we should be more focused on. This includes vets who specialize in sports medicine, rehabilitation and our pain management as well as surgery. Regarding additional studies, we have completed the accumulation of data from a canine elbow pilot study conducted by ERCO biologic Innovations, a leader in R&D for regenerative and sports medicine. The study was led by two prominent veterinarians, Sherman and Debra Canapp, and we expect the data to be ready for presentation by the end of the calendar year. Studies like this, canine elbow study as well as our other completed studies related to the management of stifle cranial cruciate ligament disease and hip osteoarthritis continue to play a crucial role in our sales and distribution strategy. Veterinarians as well as large national and international distributors generally want to review university or independent entity conducted research before adding new products like ours to their treatment regimens or distribution catalog. Our internal sales team and outside distributors also use these studies in their commercialization efforts, including related veterinarian training. The study studies also help with our engagement of new industry partners such as veterinary Growth Partners, VGP, with whom we recently joined forces. VGP is a management services organization or MSO, that supports veterinary practices by offering practice management and marketing tools, consulting and vendor relationships. VGP has committed to actively promote Spryng and PrecisePRP to their expansive member network of more than 7,300 veterinary hospital clinics across the United States. As I mentioned earlier, during the quarter, we entered into the European marketplace for the first time with the engagement of U.K.-based Nupsala Group. Nupsala Group Is a leading U.K.-based veterinary group that operates as both a veterinary wholesaler, and referral provider with a specialization in musculoskeletal health, orthobiologics and regenerative medicine for companion animals and horses. Nupsala is committed to inventory market and promote throughout the United Kingdom our Spryng with OsteoCushion technology. An initial order was shipped and the official education and training in Nupsala's sales force is scheduled to begin in mid-January. During the quarter, we also advanced our new strategic collaboration with Commonwealth Markets, the syndicated ownership group who is behind 2023 Kentucky Derby winner , Mage and the 2022 Dubai World Cup Champion named Country Grammer. Our partnership with Commonwealth has been centered on the clinical use and promotion of Spryng and PrecisePRP. As part of our collaboration, Commonwealth has integrated Spryng and PrecisePRP into the care protocols of a number of their top-tier thoroughbred stables. In this environment, they are using these technologies as both a preventative measure and/or a management solution to promote joint health and extend performance longevity. It is also being used to support recovery after high-impact training and racing. In addition to this clinical implementation, we are also exploring co-branded content educational initiatives and industry outreach reach to elevate awareness around joint wellness to support the broader adoption of Spryng and PrecisePRP across the equine health community. Our unique partnership with Commonwealth, a recognized leader at the highest leveled sport represents a tremendous affirmation of our Spryng and PrecisePRP technologies. Their championship-caliber horses and progressive approach to wellness makes them the ideal partner to showcase the benefits of these revolutionary restorative technologies. So by combining our technical our clinical expertise and commercial capabilities of Commonwealth's vast network, we can provide more veterinarians with cutting-edge effective solutions that enhance recovery and long-term solidness in competitive horses. Also during the quarter, we made great progress with our strategic alliance and collaboration with another key partner, Digital Landia, who is a leading pioneer in agentic AI solutions. Following the end of the quarter, we signed an exclusive 10-year white-label licensing agreement with Digital Landia for its patented breakthrough next-generation an Agentic Pet AI technology. Our efforts are now focused on integrating this amazing technology into our platform as a first-of-kind global pet care ecosystem. In support of the diagnostic process, it can decipher animal behavior and communication through real-time analysis of vocalizations, body language and physiological signals captured via a vet's or a pet parent's smartphone camera. Furthermore, the AI system has the capabilities to receive animal medical data such as physician's medical records, medical imaging and lab results to assist the veterinarian in diagnosing afflictions in diseases as well as suggesting treatment options. Given how it accomplishes this with an amazing 97% accuracy, Digital Landia's agentic AI presents a paradigm shift in how we understand pets and their physical health. The underlying technology features 5 patent-pending innovations with 9 specialized diagnostic agents accessible to veterinarians for all patients. By aligning our clinical proven therapies with such powerful AI technology, we believe PetVivo is uniquely positioned at the intersection of AI innovation in veterinary care. This agentic pet AI technology also addresses two critical challenges facing the veterinary industry, skyrocketing client acquisition costs and the difficulties in capturing the exploding Gen Z pet parent demographic. We believe the implementation of this agentic pet AI technology has the potential to deliver a 90% to 98% reduction in client acquisition costs, lowering it from $50 to $150 per patient to just $1.50 to $5 per targeted client outreach. They can also simultaneously provide veterinarian practices with unprecedented access to the fast-growing market segment of Gen Z pet parents. Also, earlier this week, Digital Landia announced a publication of a comprehensive technical white paper documenting the agentic pet AI framework that will power our new PetVivo B2B veterinary practice platform, which we will market through our wholly owned subsidiary, PetVivo AI, Inc. The white paper validates the technical foundation underlying the platform. It provides veterinary professionals, investors and industry stakeholders with detailed visibility into the multi-agent artificial intelligence architecture, which will enable transformative clinical and economic benefits for veterinary practices. Given the strength of this report, we expect our PetVivo AI solution to rival mainstream AI applications in terms of adoption rates and thereby create tremendous visibility of our brands, particularly Spryng with OsteoCushion technology and PrecisePRP. Beta testing continues and has been advancing well, and we anticipate the official commercial launch to take place in the near future. The launch will introduce both Digital Landia's agentic pet B2B B2C app and PetVivo's new B2B platform. Now for an introduction to a functional Spryng-like product, in the first fiscal quarter of this year, we established a strategic partnership with PiezoBioMembrane, a spin-off from the University of Connecticut that is pioneering biodegradable piezoelectric materials designed for implantable and regenerative applications. Through this collaboration, we have been advancing the research and development of revolutionary functional biomaterials that can promote regeneration, restoration and/or remodeling of damage or injured tissue and bone in both animals and humans. The combination of these two technologies, Spryng and PiezoBioMembrane's piezoelectric material is creating exciting new future for PetVivo, one that we believe will be transformative for not only our growth outlook, but also for veterinarians and their many precious patients. We have now completed Stage A of our 3-phase joint research and development project that successfully demonstrated that materials from our mutual products can be combined into a single offering, which can generate piezoelectric activity that provide therapeutic benefits to animals and humans. Stage B, which is now underway, will determine if the combined products can be mass produced at scale and demonstrates a preliminary indication of safety for administration in animals. This stage is progressing very well to date. The final stage, Stage C, which is expected to begin in the second calendar quarter of next year, will determine definitive safety and efficacy of the product. Altogether, our latest new technologies have created an exciting future for PetVivo that is transformative to not only veterinarians and the patients they serve, but potentially for humans as well. Looking ahead, we expect to see continued strong sales momentum and market penetration for the duration of fiscal 2026 and beyond. In fact, we have never been in a better position to accelerate our growth and expand across high-growth markets. The U.S. animal health market is expected to double to $11.3 billion by 2030. Such massive growth is rare for such an already large industry and it provides us amazing tailwinds. For the full fiscal year ending March 31, 2026, we continue to see another year of record growth and improving bottom line as we continue to expand the use of Spryng and PrecisePRP as well as advance our other new products on our expanding medical therapeutics platform. The third and fourth quarter of the fiscal year have been traditionally the strongest particularly given the increase in annual industry events during the third fiscal quarter and typically drive greater product awareness and new orders. In fact, given our current growth momentum, we see the fiscal third quarter having the potential to produce another very robust revenue outcome. As we continue to grow and expand over the coming quarters, we will remain committed to advancing the best in pet health solutions and ensuring our products reach more veterinary professionals and patent owners with our success in these efforts driving greater value for our stakeholders. Now I would like to turn the call over to our commercial and operations adviser, Mike Eldred, to provide us an update on the company's sales, marketing operations efforts as well as some other exciting events occurred in the company. Mike?

Michael Eldred: Thank you, John. And I hope everyone on the call had a wonderful week. Overall, I'm extremely pleased with the Sales performance and our Vice President of Sales and Marketing, April Boyce is doing a wonderful job enhancing our digital marketing initiatives. We are now expanding our sales team and adding a few more inside sales reps, so we can have a stronger team out there communicating to the veterinarians and bringing awareness and selling the product. Additionally, we are implementing a new CRM system called HubSpot which will be critical so we can keep track of all of our call notes and follow-ups and all the veterinarians that need additional details on the product and sales follow-up calls. Having our new PrecisePRP equine, as John mentioned, is a wonderful thing to strengthen our portfolio. Previously, we just had the canine PRP, but now having both products in our portfolio, that gives us a better opportunity to train distributors and train them on both products so they can help us out there in the marketplace, sell the product. We'll be excited to launch to have a bigger launch at AAP coming up here in December in Denver. So overall, I'm just extremely excited with the performance, and we're taking all steps we can to make sure that we continue to drive forward and become known as the leader in regenerative medicine. And if anybody has any specific questions on any of the sales and marketing initiatives, I'd be more than happy to answer afterwards, but I think John Dolan has done a pretty good job summing up the great progress that we've made. So overall, nothing out of the norm that's selling these products. It just takes time, and we're making great progress. So now I'll turn it over to our CEO, John Lai, and he can take it from here.

John Lai: Thank you, Mike. Now I would like to open up the call to the Q&A session, excuse me. Operator, could you please instruct our listeners to how they can ask questions?

Operator: [Operator Instructions] Okay, we have one raised head and now you are allowed to talk.

Peter Sullivan: My name is Peter Sullivan. So a couple of questions. You quoted the number somewhere around 1,200 clinics that have used your product, how many of your -- how many clinics are like really heavy users? And you can define that however you want, but something more than a few cases here or there.

John Lai: So the learning curve or the time that it takes for a vet to really bring on the product ranges anywhere from 6 months to a year after they use it because one of the major selling points of Spryng with OsteoCushion is the longevity of the product. The only way to establish longevity is the actual time. So like with the VGP, I believe, they tried the product, probably close to two years ago or even more before they felt comfortable to come on board in a big way. So it is a time-consuming adoption process. So yes, it's -- I would -- I don't have those numbers in front of me how much are -- how many of those are active users. But as you can see from the anecdotal evidence, we're continuing to grow the adoption or the clinic numbers that are potentially coming on board.

Peter Sullivan: Sure. And can I ask a follow-up question?

John Lai: Absolutely.

Peter Sullivan: Can you break down the revenue between Spryng and PRP?

John Lai: I'm going to leave that to the CFO because I don't -- I have it, but I don't know if we can disclose because that's more of a -- I don't think we'd break that down right now in our financial reporting. Garry, you want to answer that?

Garry Lowenthal: Absolutely. It's actually a really good question. We added roughly about 42% that was the PRP for this last quarter and 58% was Spryng. And keep in mind that it's just the canine, it wasn't the equine, it wasn't the horse.

Peter Sullivan: The PRP was just the canine version?

Garry Lowenthal: Just the canine. We just started shipping the equine in this quarter, literally about a month ago.

Michael Eldred: And I think it's important to note that small animal veterinarians, joint injections is not something they do every day. It's something that they're getting more familiar with and starting to do it as a means to increase revenue in their clinics as they start to lose the pharmacies. The equine veterinarians on the other hand, Spryng and this PrecisePRP equine. Equine veterinarians know how to inject joints. They do it every day. I think we'll see a good ramp-up with the equine PRP, and we're starting to take more efforts on Spryng. But the companion animal market is a slow growth, but it's long term it's going to be a much significant market for us.

Peter Sullivan: Yes. I mean that's kind of why I asked about your heavy user clinics because even though I'm not a veterinarian, I know a few -- and they were like, I wouldn't even try to do this thing. And so it's not surprising to hear that they're -- that it's sort of slow to get into those clinics.

Michael Eldred: We're focusing on the canine, you got to think about -- we're focusing on the progressive clinics. There's a lot of corporate accounts, like you've got the VCAs, the Mars, all the MVAs, any veterinary clinic that's emergency or has 3 to 5 doctors is a relatively good-sized clinic. Obviously, those are our targets then we start to focus on the single veterinarians when we run out of the things to do.

Peter Sullivan: Do you have any corporate -- I don't know what the right word to use is, but these big corporate clinics, have any of them adopted your product corporate-wide yet?

Michael Eldred: No. No, because every corporate is different. Sometimes a lot of the corporate clinics now they still allow the veterinarians to have their own decision-making process. We do have some veterinarians that are probably part of a corporate group but like, for instance, like Mars, who has a formulary, no, there's -- that's a significant progress or process to get a corporate mandate to use the product.

Peter Sullivan: I'm not much of a -- I'm not super knowledgeable. Is it -- are there some products that would like not yours but some products that would have a corporate blessing to use?

Michael Eldred: Yes. Any of the normal drugs that are used maybe for NSAIDs or anti-inflammatories, flea and tick, those kind of -- anything that's prescribed daily or monthly by veterinarians is something for sure, but a specialized product that is a special area, it's a learning curve. They all have to get comfortable with it.

Peter Sullivan: Okay. And then I have one more question, and I hope I am not monopolizing somebody else's time. Do you do a breakdown or can you do a breakdown between companion versus Equine regardless of the product, but just how that revenue breaks down?

Michael Eldred: Yes. I mean Garry could do that at some point in time. I mean that's -- the other thing too is those are two very separate markets. Equine veterinarians buy differently than canine veterinarians. So yes, we track those separately. But once again, we just got the equine PRP and that is -- that's going to be a good upscale and a big launch for us, but once again, it takes time. And you got to realize a lot of these veterinarians already have centrifuges, they have other things, they have product themselves. So they've got to work through that. But we hope it's somewhat like a hockey stick.

Garry Lowenthal: Yes. Peter, this is Garry, the CFO. Since we've just -- we're now shipping the equine. In the future, we're going to do some segment reporting, but we're also going to break out equine and canine in the future just because the PrecisePRP is going to be kind of really big for us and we're going to break it out by the companion animals from all animals versus the horses.

John Lai: Peter, I should follow up also. You have quite a bit of adoption from VCA clinics out in California, Nevada and Arizona. Yes, it's -- they're able to order and buy the product. It's not on their official formulary, but like Mike said, they allow the vets to choose the product outside if they want to use it. So we're starting to get good traction into those areas, and that should eventually lead to the approval process as a formulary.

Peter Sullivan: Sure. Okay. Yes, I think it's helpful to track both the Spryng, PRP breakdown and companion versus equine to see kind of the underlying growth in the individual products. So I appreciate you breaking that stuff down. So that's all I have for questions. Thank you.

John Lai: Okay. So let's just give one last warning about -- or one last chance for anybody to ask a question. If not, I will be giving closing notes and having John Dolan, our General Counsel, give the disclosures. Okay. If there's no more questions, then I would like to thank everyone for joining us today. We look forward to talking with you again soon and presenting our second fiscal quarter results when we report again. And as always, take care and thank you for joining us today. John, please go ahead and wrap up the call.

John Dolan: Thank you, John. Now before we conclude today's call, I would like to provide the company's safe harbor statement that includes cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 including, but not limited to, statements regarding the company's future revenue, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statement made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to, various risks as detailed in the company's periodic report filings with the U.S. Securities and Exchange Commission. For more information about risks and uncertainties associated with the company's business, please refer to the management's discussion and analysis of financial conditions or results of our operations and Risk Factors sections of the company's SEC filings, including, but not limited to, our annual report on the Form 10-K and quarterly reports on the Form 10-Q. Any forward-looking statements made during the conference call speaks as of today's date. The company expressly disclaims any obligation or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regards thereto or any changes to its events, conditions or circumstances on which any forward-looking statement is based, except as required by law. I would like to remind everyone that this call will be available for replay starting later this evening or by tomorrow morning. Please refer to today's earnings release for dial-in replay instructions available via the company's website at www.petvivo.com. Thank you again for attending today's presentation. This concludes the conference call. Operator, you may disconnect.